Operator: Greetings, and welcome to the Liberty Media Corporation 2024 year-end earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce Shane Kleinstein, Senior Vice President, Investor Relations.
Shane Kleinstein: Thank you, and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Due to a number of risks and uncertainties, including those mentioned in the most recent Form 10-Ks filed by Liberty Media with the SEC, these forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any update or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media's expectations with regard thereto, or any change in events, conditions, or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, including adjusted OIBDA. Requirement definition and reconciliation for Liberty Media Schedule 1 can be found at the end of the earnings press release issued today, which is available on Liberty Media's website. Speaking on the call today, we have Liberty's President and CEO, Derek Chang, Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling, Formula One's President and CEO, Stefano Domenicali, and other members of Liberty Management will be available for Q&A. With that, I will turn the call over to Derek.
Derek Chang: Great. It's great to be speaking with all of you today. For those of you who don't know, well, I officially started as Liberty CEO 27 days ago. My relationship with Liberty Media goes back to 1997 when I first met John while working for TCI. I had many points of professional overlap over the years at DIRECTV, STARZ, and more. Most recently, I've been fortunate to serve on Liberty Sports since 2021. As a board member, I am uniquely familiar with the Liberty structure, culture, and mandate, which has enabled a seamless and efficient transition to CEO. We set the ground running with the busy year ahead. Even as a director, for years we've been asked what is the long-term Liberty playbook? The answer has been consistent. The Liberty Playbook is one of constant evolution, maximum flexibility, and appreciation for change to drive long-term shareholder value. That is and will remain true going forward. Our team will speak in more detail about the businesses, but I'll make some brief remarks first regarding our near-term priorities for 2025. First, we are working towards the close of the Dorna acquisition. The MotoGP season kicks off in Thailand on March 2nd. There will be a 22-race calendar compared to 20 races in 2024, featuring a new track in Hungary, and we expect an exciting season ahead. MotoGP unveiled a new brand refresh and identity at the end of last season, aimed at expanding its cultural relevance beyond racing. We look forward to working with Dorna to take this sport to the next level. On closing, the phase two regulatory process is progressing, which is a more in-depth review by the European Commission and not uncommon in major transactions like these. We extended the long stop date for regulatory clearance to June 30th, 2025, and are working constructively with the regulators towards approval. Our second priority is continuing our path towards structural simplification and better highlighting the value of our Live Nation equity stake. And finally, we will continue to drive the momentum at Formula One. The sport is coming off a record 2024, with high visibility into an excellent year ahead. I've spent a significant amount of time with Stefano and the F1 management team since the start of this year and look forward to supporting them going forward. Chase Carey's involvement and partnership as a Liberty board member has and will continue to be important as we leverage his expertise to continue momentum at F1. I do want to touch specifically on the Las Vegas Grand Prix as this is a key area of focus. Please note that we don't provide race-specific economics for any Grand Prix. From LVGP to the broader F1 ecosystem, cross-sponsorship, hospitality, live entertainment, licensing, and data, Vegas has served as a very successful testbed for product expansion and plays a key role in F1's growth in the Americas, which is a continued focus. The event we held recently at the O2 in London and the upcoming F1 movie are also powerful marketing engines for all of our F1 fans, but particularly for Vegas and the North American fan. 2024 standalone event economics for Vegas missed internal expectations on revenue and OIBDA. The team has moved very quickly, however, to enact changes that will benefit 2025, support a financially successful race for F1, continued growth, and positive impact to the Las Vegas community. We now have two years of real data to understand what tickets and products sold well, the demographics of the fan base, and the overall cost structure of the event. As a result, we are making further revisions to the ticket product and pricing strategy leveraging this data, and more importantly, we are actively managing our cost structure. Given the halo effect to F1 we've discussed, we reorganized the structure of LVGP last month to integrate it fully into our London team and maximize those continued benefits. This change leverages the strong organization we have in London today across commercial, finance, and more. At the same time, we are bolstering certain parts of the local Vegas team. This includes bringing the ticketing sales function back in-house and offering a high-touch on-the-ground presence, which was a key learning from last year. We will continue our partnership with Quint and benefit from their expertise in VIP hospitality and F1 experience. Finally, we are also bolstering our partnership with local players. We believe that continuing to expand the F1 platform in bold and new ways is critical and ultimately leads to both increased and new sources of revenue. We want to take these opportunities for long-term benefit even if there are early bumps in the road. We have a clear handle on near-term priorities for Vegas to improve, and we are confident in the value it provides. I look forward to sharing more as we progress. With that, I want to thank John, the board, and the Liberty team once again for this opportunity. For our analysts and shareholders, I look forward to getting to know you better in the months and years ahead. Now I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Derek, and good morning, everyone. Just a quick reminder that the merger of SiriusXM Liberty SiriusXM closed on September 9th. Therefore, the results of SiriusXM Holdings are presented as discontinued operations. At year-end, Formula One Group had attributed cash and liquid investments of $2.6 billion, which includes $1.3 billion of cash at F1 and $78 million of cash at the corporate level. The cash balance as of year-end includes proceeds from the previously mentioned long share issuance, which was completed in August. The total Formula One Group attributed principal amount of debt was $2.9 billion at quarter-end, which includes $2.4 billion of debt at F1, leaving $528 million at the corporate level. F1's $500 million revolver is undrawn, and their leverage at December 31st was 1.3 times. As a reminder, all MotoGP transaction-related financing is in place. Turning to the F1 business, just a reminder that it's best analyzed on an annual basis given variability in year-over-year race count. Total revenue grew 6% in 2024 with growth across all primary revenue streams. Revenue growth was primarily driven by the two additional races held, contractual increases across all of our revenue streams, as well as the benefit of new sponsors, which drove a 10% increase in sponsorship revenue year-over-year. As Derek mentioned, the Las Vegas Grand Prix did miss expectations, primarily on ticket sales, offsetting some of the race promotion revenue growth year-over-year despite the two additional races. Other F1 revenue was relatively flat in 2024. We saw strong growth in Paddock Club revenue at most events in 2024, as well as increases in freight and licensing. This was offset by softness in certain hospitality offerings at the Las Vegas Grand Prix. Payments as a percent of pre-team adjusted OIBDA was 61.5% in 2024, down from 62.6% in 2023. We continue to expect incremental leverage to the term of the current Concord agreement, which runs through the end of the 2025 season. Other costs of F1 revenue were broadly flat at 31% of total revenue, and SG&A was 8% of total revenue, both in line with historical averages. Adjusted OIBDA margin improved nearly 70 basis points year-over-year. And then looking briefly at corporate and other results in the fourth quarter, revenue was $118 million, which includes Quint results and approximately $13 million of rental income related to the Las Vegas Grand Prix Plaza, approximately half of which is variable and recognized in the fourth quarter in connection with the event. Corporate and other adjusted OIBDA loss was $2 million and includes Grand Prix Plaza rental income, results, and corporate expenses. Q1 results in the fourth quarter were primarily driven by the F1 experiences across the six races held, including Vegas, as well as the NBA Cup. Looking to 2025, F1 will host 24 races consistent with 2024. And while I'm reticent to encourage quarterly modeling, please note that the race count and composition will be different in each of the four quarters this year compared to 2024. In part, this is due to our efforts to increase regionalization of the calendar in support of our Net Zero pledge by 2030 and for enhanced efficiency in our freight logistics. We are in a strong financial position as we head into 2025. The majority of our revenue is under contract, including our sponsorship revenue, which has been derisked by pulling the pipeline forward given the level of announcements made prior to the season. This also allows our team to focus on future sponsorship pipeline with an emphasis on high value and high-quality partners. The other revenue streams will predominantly be driven by renewals and escalators this season. On Vegas, we are very focused on top and bottom line improvement relative to 2024 results, and there are clear steps already taken and in process to achieve this. Turning to a few cash items, F1 estimates cash tax rate in double-digit percent of adjusted OIBDA, increasing modestly in future years. Total CapEx incurred at the Formula One Group in 2024 was $75 million, approximately $73 million of which was incurred at Formula One and includes CapEx related to technical improvement projects for IT, and F1 TV, as well as the Las Vegas Grand Prix Track and Paddock building. I note that the operating company CapEx has historically trended at 1% to 2% of total F1 revenue, excluding one-time Vegas-related CapEx, and we expect this range to be broadly consistent in 2025. Turning to the Liberty Live Group, there's attributed cash of $325 million and $400 million of undrawn margin loan capacity related to our Live Nation margin. As of February 26th, the value of the Live Nation stock held at Liberty Live was $9.9 billion, and we have $1.15 billion in principal amount of debt against these holdings. Liberty and F1 are in compliance with their debt covenants at quarter-end. And with that, I'll turn the call over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. Formula One finished 2024 with solid financial results, excellent racing, and in a very strong position heading into 2025. The on-track competition intensified throughout the season, and we expect an even closer fight when we begin the new season in Melbourne. The strength of our brand and fandom translated to strong financial results in 2024. We continue to benefit from favorable supply and demand dynamics across our revenue streams. There is very strong demand to be part of the F1 ecosystem, whether in or through races, airing our content, partnering on sponsorship activation, or enjoying our hospitality products. This is met with relatively limited supply across the board. We've seen this benefit commercial agreements, where our teams made incredible progress in 2024, signing a number of agreements that provide clear visibility for near-term financials and momentum beyond. As of year-end, F1 had $14.4 billion in future revenue contracted under multiyear agreements. On race promotion, we remain focused on balancing growth and heritage markets, as reflected in the extension of our agreement to race in Shanghai through 2030 and the renewals of both Monza and Monaco through 2031. We also extended the Netherlands for one year and Belgium under a multiyear rotational deal, with the opportunity for another race to fill the alternating year slots. We remain in a strong position with demand from potential future race venues across the globe and will assess any potential new calendar addition against strategic requirements for both the business and the sport. Turning to media rights, our F1 TV product continued to grow at a healthy rate with subscribers up 15%. The US remains its largest market. Capitalizing on this success, we're launching a new higher-priced premium tier this year to target avid fans. It will offer enhanced functionality, including 4K ultra-high definition, multi-view, a virtual pit wall, and the ability to watch across up to six devices. Brian touched on some financial inputs for the season. Entering 2025, I am particularly proud of the growth in sponsorship, both in renewal terms and new partnerships that will take effect this year. This includes our landmark deal with LVMH as a global partner, Lenovo becoming a global partner after being an official partner since 2022, our renewal with Pirelli, as well as bringing in Aramco, Salesforce, and Kaspersky as official partners. More recently, we announced the extension of our partnership with Crypto.com through 2030 and OWIN, a global lottery operator, as an official partner. Our success in signing these partnerships ahead of the season now allows the team to spend 2025 focusing on growing and executing the pipeline of new deals and renewal uplift opportunities for 2026 and beyond. While 2025 is clearly a standout year in sponsorship, I am optimistic about the discussions we have in development, including new regional deals, upsells, and the potential for movement of our existing sponsors within tiers as the bar has been raised across the board. The team is also continuing to innovate on our hospitality products. The Vegas race allowed us to test different concepts and tiered hospitality offerings, and we will apply these learnings to other races this year. Michelin Star chef Gordon Ramsay was announced as the partner of our most premium hospitality product, F1 Garage. We are also pleased to extend our multi-decade relationship with Do & Co for another ten years of Paddock Club delivery. We will continue to work with them on enhancing our Paddock Club offerings. Looking at the Las Vegas Grand Prix, we delivered another outstanding spectacle on track, creating buzz throughout North America and earning the Promoter of the Year award from Autosport. Moving into 2025, we are taking an important step in the race's evolution and are fully integrating its operations into our F1 team in London. This will further maximize the value we believe the Vegas race provides for F1's broader commercial activities. In addition to being an excellent lead generator for commercial deals, Vegas has been a successful testbed of innovation that we are now extending elsewhere in Formula One. A few recent examples include expanding our licensed product and merchandise offering, the global partnership with Gordon Ramsay after his involvement in Vegas, and building a new CRM system for all of F1, which will enhance our fan targeting. We also know the Vegas race is key to our expansion strategy in the U.S. Following the second year of the race, we have a clear vision of the changes needed to improve the race's standalone economics and maximize the overall value accruing to Formula One. Turning to broader fan engagement, Nielsen published a set of fan data in December 2024 confirming F1 is the most popular annual sport series globally with over 750 million fans and growing. Younger and female fans are growing the fastest, a statistic that fuels sport growth. In the last five years, the under-35 years old and female fan demographics have both increased by over 50%, with steady growth, especially in markets like the U.S. and China. In 2024, 1.6 billion cumulative TV viewers tuned in for races, with the number of unique viewers up 9% year-over-year. Additionally, our digital gatekeepers of almost 500 million watched F1 content on streaming platforms, including 230 million who watched YouTube highlights and reels on the F1 channel. We saw TV growth, especially in China, Canada, Australia, Argentina, and the Middle East. As we are increasing our global fan base, at the same time, our European stronghold markets Italy, UK, and Germany were also up year-over-year. Average viewership per race was 66 million on linear platforms, with an additional 20 million estimated on digital platforms, including F1 TV. Nielsen is now capturing YouTube audiences in these measurements, which will be included in our reported viewership numbers beginning in 2025. This will provide a more comprehensive view of how current fans consume sport content, and we aim to integrate new sources and platforms over time. On social media, Formula One ended the year with 97 million followers across platforms, up 38% year-over-year. If we look at the comparable social media platforms where all major sports operators are present, for the fifth consecutive year, F1 has been the fastest-growing global sports league for follower growth. We also reached an audience of 4 billion globally through our proactive media activity in 2024, showing the breadth of our reach. At races, strong attendance trends continued throughout the season, with 2024 seeing 17 sellout crowds and 10 new attendance records. Over 6.5 million people attended races in 2024, a new record, growing 9% over 2023. Four races welcomed crowds of over 400,000. The Paddock Club also saw record attendance, hosting 58,000 total guests across the season, up 20% on 2023. Despite the strength of these metrics, we know that only a fraction of our fan base is able to attend the race. A key focus of our ongoing growth strategy is to reach fans in new, creative ways to maintain their interest, raise awareness, and continue the growth momentum. This is our F1 always-on strategy, ensuring F1 is present beyond the 24-race calendar. This approach is supported by our experiential licenses initiatives. Following successful international venues in Boston and DC in 2024, F1 Arcade is planning to open four additional US locations in 2025, including Las Vegas and Denver. The F1 exhibition sold almost 600,000 tickets across all venues in 2024, connecting our fans with F1's rich history. Buenos Aires will be the fifth city to host the exhibition when it opens on March 22nd, and it is the first stop of a planned multi-country South American tour. Amsterdam was recently announced as the sixth location set to open in April 2025. Leveraging learnings from other licensed activations, Grand Prix Plaza in Las Vegas is launching a series of new year-round activities beginning at the end of March. This site will be the North American home of the sport, especially serving our growing US fan base. In partnership with the Round Room Live, our partner in the F1 exhibition, Grand Prix Plaza will host three unique and immersive experiences: F1 Drive, F1 X, and F1 Hub, and will also have three new private event spaces available for rent. We're building momentum in consumer products and other licensing areas, which we expect will be both economically collaborative and provide new touchpoints for our diverse fanbase. Our partnership with LEGO launched with a product range featuring all ten teams, engaged content across LEGO digital platforms, and presence at race weekends, including FanZone activations. Our partnership with Mattel is launching throughout 2025 with eight F1 teams brought to life across a range of products and presence at select races, including Hot Wheels activation and retail opportunities. Sustainability initiatives remain a priority, and we are on track to be net zero by 2030. In 2024, we began our investment in sustainable aviation fuel and expect our initiatives here will have provided an approximately 19% reduction in 2024 relative emissions compared to traditional aviation fuel. We are already well advanced in our plans to expand the sustainable aviation fuel initiative further in 2025. Also, in November, we announced a formal diversity and inclusion charter agreed by all ten teams, F1, and the FIA. This is an important step and invites collaboration across the ecosystem to produce impactful results. Looking ahead to the 2025 season and beyond, we are working to capitalize on our momentum and establish key building blocks for future growth. I'm confident that our brand awareness will continue growing, especially as we look to the Apple movie, which will premiere in June, and the impact of our recent high-profile season launch event held at the O2. The launch event was the first of its kind, featuring all ten teams revealing their 2025 liveries, top-tier entertainment, and a gathering of the entire Formula One community to celebrate our 75th anniversary. Over 15,000 fans packed the O2, while over 40 global broadcasters aired the show live. F1 digital channels, including YouTube, drew 7.5 million total live viewers, making it F1's most successful live stream ever. The media buzz was incredible, and over 2,000 pieces of global content were published within 24 hours of the event. From a sporting perspective, this year we expect an intense fight on the track as teams continue to converge after a very competitive 2024 season. Driver changes are plentiful, with many rookies entering the grid, demonstrating the success of the F2 and F3 support series in preparing drivers for Formula One. We also expect an interesting balance as the teams have to focus both on 2025 performance but also prepare for the significant changes required by the new technical regulations taking effect in 2026. We look forward to seeing the cars take to the track this weekend. Avanti Tutta. Full speed ahead. And now I will turn the call back over to Derek.
Derek Chang: Great. Thank you, Stefano. I think we'd now like to open the call for questions.
Operator: You may press star two to remove yourself from the queue. Before pressing the star keys. Our first question comes from the line of Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thanks. I have two questions. One for Derek and one hopefully for Stefano. I know he said bye, but hopefully, he's still there. Derek, welcome to the wonderful world of quarterly earnings calls. Nice to talk to you again. Could you talk a little bit about the message you have to Liberty shareholders around strategy? I know you talked a little bit about it in your prepared remarks, but what are your strategic priorities for the year? Any comment you can share on your philosophy around M&A? I think Liberty obviously has a tremendous track record on the M&A front. At the same time, investors really like the kind of pure plays that you have and are continuing to create. So I would love to hear some thoughts there, and then I have an F1 question for Stefano if he's there.
Derek Chang: Sure. Thank you, Ben. Good to hear your voice. Thanks, Ben, and thanks for the warm welcome there. I guess I would say that I touched on some of the points in terms of our near-term priorities. Closing Dorna, the structural simplification that we've discussed, and obviously a huge focus right now on F1 and continuing the close trajectory that that's been on and helping Stefano and his team accomplish that. We've got a lot on our plate as we get through the year and move forward. I would think that a lot of what we've done in the past would reflect on what we might do in the future. We've always been an opportunistic place. And I think as those opportunities present themselves, we will certainly hopefully be active and be able to continue to build on the assets that we have in terms of tuck-ins or adjacencies and things like that. But then as we start to look beyond that, where there are opportunities that involve premium IP, abilities to monetize and commercialize along the way, we talked with some of the assets like F1. Those we would look at pretty seriously. But for now, again, back to the near-term priorities that we've already discussed. Stefano, do you want to have Stefano your next question?
Ben Swinburne: Thanks, Derek. Stefano, I know there's a lot going on between Concord and media rights, everything else. But there's a lot of focus, as you can imagine, on the US media rights right now. There's some press reports that F1 and ESPN have moved on from each other. I guess I'm just curious if you could talk a little bit about how you're feeling about the demand for the US broadcast rights for F1 today, whether we still should think there's going to be an increase from your current deal, any thoughts on including or excluding F1 TV in the package that you're bringing to market? Would be appreciated. Thank you.
Stefano Domenicali: Thanks, Ben. As you said, there's lots going on in these months, but that's the life of Formula One. Every day is a new day where a lot of things are always opportunities. First of all, let me say that with regard to ESPN and Formula One, let me say that I cannot deny the sort of situation that is negative because first of all, we need to be thankful for what ESPN is providing to us. We are very happy about the quality of the service. We need to always remember that they were first to believe in our project. So, therefore, the fact that at the end of the exclusivity period, they have not put in place a formal offer doesn't mean that the discussion is going ahead. Actually, it's the other way around. So there are still a lot of discussions to try to find the best solution. And, of course, now, as we always said, is the month where other players are around the table. And we cannot deny the fact that there is a lot of interest around our product. We are fortunate enough to have compelling content, a growing fan base, and a strong demand for different situations from various parties. As we always said, there is a big point related to this fact that from one side, we always want to maximize the monetization of our media rights, but on the other side, we need to make sure that also in terms of awareness, in terms of growth, our fan base, we need to try to find the best way in terms of reach. Therefore, these are the two questions, the two points that are on the table. We have a lot of players that we are discussing with. I think the hot months will be the next one before summer when we should have a better picture, and that's something that I believe will happen because, as I said, we are really in a situation where our possibility to grow and also to offer to them the possibility to give in to our broadcast department any better commercialization on how they can explore their rights are possible. And I can say that the digitalization and also the experience of that, the broadcaster during Europe, other parts of the world could be an essential part of what could be the discussion we're gonna have with them. And that's what I would say with regard to the media rights. I'm sure that Derek, if you want to say something more on that before I can touch base on the situation on Concord.
Derek Chang: Thanks, Stefano. Yeah. I mean, I love talking about media rights. But I would add to that that people tend to look at these sorts of discussions somewhat simplistically sometimes and really focus on the race and the race broadcast. But when you think about media rights in today's world, the broadcasters, the distribution partners, and the IP holders, I think it's a much more involved relationship than just the event. And I think that's to everyone's benefit in the ecosystem and how people can use our IP, not just through the event, but through the other forms of content, through the activation at hospitality even and things like that come into play, and I think that we at F1 continue to be very well positioned with respect to the content offer we have. We've invested a lot of money in our own content production, which can also be very helpful to the potential broadcast partners. Ultimately, as everyone knows in this world, things sort of hinge a little bit on supply and demand. And I think a competitive process that unfolds in situations like this and sort of what the availability is of other rights around this time frame vis-a-vis sort of which of our potential partners they may be looking for IP like ours at this time. And so, not to overcomplicate the answer, but I think we do believe that there is a robust process that will unfold here. I think to use an F1 analogy, we're early in the race and people are still feeling out the track per se. But I think also, to use an F1 analogy, it's gonna be a fast race and we're gonna move pretty quickly, hopefully, to come to a conclusion as we get to the end of, or the middle of the year and later part of the year. And just to echo one thing that Stefano said, a lot of times the people on the outside tend to frame these things as, oh, ESPN said they didn't want the F1 rights going forward and very again. Sound bite sort of way to describe a relationship. We've actually been quite a productive and constructive relationship, and I personally have had a long-term relationship with ESPN. F1 has had a great relationship with ESPN. We'll continue to see how these conversations unfold.
Operator: Thank you. Our next question comes from the line of David Karnovsky with JPMorgan. Please proceed with your questions.
David Karnovsky: Alright. Thank you, and welcome to Derek. On Las Vegas, as you noted, the race missed your budgeting, and I get the need to look at this holistically given its impact on sponsorship and other rights. But I wanted to see if you could dig in a bit on the path here in 2025 and the next few years specifically growing revenue and kind of also managing the cost base to get the event back towards some of those original standalone targets you had laid out if that's still the goal. Thanks.
Derek Chang: Stefano, do you want to start?
Stefano Domenicali: Yes. Thanks, Derek. I would say thanks, David. I mean, we do believe that, as we always said, this is an incredible Grand Prix on which we need to keep working and make sure that it will stay as we believe at the top of the range. Because the benefits of this Grand Prix, as we said, provide a broader financial benefit to the acquisition of Formula One. What we are focusing on with the actions that we have delivered is to make sure, as you said correctly, we need to make sure that we focus our attention on the cost structure of the situation that we have to manage in Vegas. We need to have an even better local relationship because that's the key to success. And by the way, on that respect, one news that I believe is important for the ecosystem of the communities is that we have moved the race time two hours earlier. And that's why because we believe that it's important always to be connected to the community, and we don't have to forget that the community is benefiting with a big impact on their economic P&L on the weekend of the races. And then the fact that we believe that by integrating all the functions of Vegas, LVGP together with London, will help to boost the synergy that we can use by knowing this system and the experience that all the other Grand Prix are, let's say, in Barcelona given to us. We don't have to forget that we were arriving, as Derek was mentioning in his speech at the beginning, any data relevant for that community. And now we have taken that in the way to build the system in order to formalize the right packages, the right offer. And on the other side, we have always set the system beginning that we know that when there is a new approach going ahead, the first year is a learning curve that will take the right time to make the right strategic decision because, as we said, this is an incredible event that will continue to be one of the most important events in the future. That's what I could say on that perspective.
Derek Chang: Yeah. I'd like to just add that if you step back for a second, I think that LVGP has been a huge success. To put on an event like that in the short amount of time that our team here in Denver and London were able to do that over the last couple of years. It's been pretty impressive, and I think we've talked at length about the benefit to the F1 ecosystem as a whole, whether it's the media, the sponsorship, and fan, you know, fandom growing here in the US. All that sort of stuff has been hugely impacted by what we've been able to accomplish in Las Vegas, I think. We all here were disappointed by some of the financial metrics in the early going here. But those in my mind are all durable and fixable, and both Stefano and I have already alluded to, we're already working on those plans and feel comfortable that we will see nice improvement there over the course of the year. Thank you.
David Karnovsky: Okay. And then Stefano, I was interested to get your expanded thoughts on GM Cadillac and the decision to admit them as an eleventh team. We had the perception of some resistance to this in the past, so I was interested to understand better any change in your thinking and what this can add to the sport, especially in the US. And can you just refresh us on how the entry fee works to the teams and what role F1 has, if any, there?
Stefano Domenicali: No. Thanks for that. It's important to clarify that position. We always said that Cadillac is giving and will give an incredible boost to the ecosystem of Formula One. We were referring to other situations that were handled before, but now the picture is totally different. Therefore, I think that Cadillac is preparing the entry in terms of preparing the season because it would not be an easy situation for them to be in such a high-tech and evolved sporting platform. They are doing everything in order to show how Cadillac is really involved in the sport. Now there is the formality that is related to the process that, you know, it's almost ready together with the FIA that has to be updated and whenever this would be ready, it should be not too long. There would be a sort of an update to formalize what basically has already happened. So they will be ready in 2025 against or together with the other teams next year, and that is the evolution that, as you know, GM has taken as a fact that they want to be a real infrastructure manufacturer that will invest in our sport because they do believe in the technological platform that F1 can provide to their system. So very, very happy that now this is on board moving forward, and looking forward to seeing them on the track together with the other teams to fight for a great championship.
Operator: Thank you. Our next question has come from the line of Kutgun Maral with Evercore ISI. Please proceed with your questions.
Kutgun Maral: Good morning and thanks for taking the questions. Two if I could. First on sponsorship, I know 2025 will already be very robust given the partnerships that you've already inked, and it doesn't seem like the team has stopped either with at least an all-in deal and bringing on Tag Heuer as a title partner for Monaco. I guess looking ahead, do you see even more opportunities as you look to the balance of this year? Or are you largely set for 2025 based on the pipeline? And given the tenure of your conversations, is there anything you can share about how sponsorship could look like in 2026 as well? And then I have a follow-up on GM Cadillac.
Stefano Domenicali: Yep. Thank you, Kutgun. I mean, as we said, we are very robust with regards to the pipeline for 2025 because basically in terms of achievement, the entry of the robust partnership that we have announced has been, I would say, impressive. Impressive with regards to the quality of the brand and, of course, not only about the quality, but the investment they're bringing to us. What for me is relevant is that this new partnership has brought in and will bring in new ways of activating the partnership. It's not only visibility. It's not only awareness. It's all what is behind that. And now everyone is working together to make sure that this platform will offer to their needs in terms of business development what we can offer to them. So that is an important assessment that we have done together. We will see already with facts. With regard to the other possibility, we don't have to forget where we were just a couple of years ago. We have moved not only in terms of quantity, but also in quality of partnerships that for us was the need now to restructure the category in order to make sure there was a possibility to develop regional deals or to uplift as we did from official to global partners. And, of course, there are different possibilities to maximize it through the digitalization that can be applied to our presentation of a product on TV and not only on TV, on the track. And on top of that, of course, the fan engagement that we are bringing with new partners is pushing us to move and this is the reason why, for example, once more, Vegas was important to create different opportunities with your hospitality packages and hospitality and experience that we are offering. Eleven fans. Looking ahead, I would say the pipeline already for the next year is very strong, and that's what we need to do. Work together and if we work well, the activation program that we are activating with them with facts, it is showing that our strategy is right. Otherwise, it wouldn't be in such a good position. And I do believe that this position will keep going like that even in the future.
Kutgun Maral: That's very helpful. Thank you so much. And then maybe if I could just follow-up on the GM Cadillac discussion. You know, there have been some questions on what this could mean to the Concord agreement discussions and ultimately what it does to the splits and economics that the teams are pushing for. I know that there's not much you can share on the Concorde right now, but how should we think about the financial impact of welcoming GM Cadillac to the grid? And is the hope that the long-term top-line opportunities through sponsorship and media rights would offset any margin pressure? Or is it just wrong to even assume that there would be margin degradation?
Stefano Domenicali: No. Thanks, Kutgun. With regard to the first question, there's no impact at all with the current discussion of the Concord agreement. That's been, as you know, Concord is done by two major elements. One is the financial one that is related to the commercialization and the marketing side of it, that discussion between us and the teams, and we are in a good position on that. The other topic or the other part of it is the governance. That, of course, we need to work together with the FIA and the team. And on that, we're working in order to respect the data, as you know, there's no time pressure because we are all working as partners, and we want to find the best solution for the sport. And this is something that we're gonna do. Even with one more team together into the future because, of course, Cadillac will be part of it, and they will have a voice as the others into the future. Then with regard to the fact that Cadillac will bring a new US brand, I think that we can bring opportunities. And I'm totally positive because the sport is growing in such a magnitude that everyone will exploit the best out of it, and I'm sure that the Cadillac GM Group will benefit from being part of this group.
Derek Chang: Can I just add? Thanks, Stefano, that in my early days here, I have had the opportunity to meet with some of the teams certainly over the last month or so. And look, I don't think the relationship between Formula One and the teams has ever been stronger. I heard a lot of good positive affirmation of that in terms of what Liberty has done since we acquired F1. And I think people really are excited about the future and sort of growing the overall pie in terms of the economics of what the sport can deliver. I think very on the Concord agreement and our splits with the teams. Stefano, you know, already remarked on the fact that, hopefully, we get the Concord agreement done soon. At this point, you know, the entry of an eleventh team is not really impacting sort of that discussion per se. And if you think about it, it doesn't impact splits between us and the teams, it certainly is an eleventh team in terms of the allocations amongst those teams themselves. But, again, I mean, with the entry of a group like GM, the hope and that thought here is that we continue to grow the overall pie for Formula One and the Formula One ecosystem.
Operator: Thank you. Our next question is coming from the line of Jeffrey Wlodarczak with Pivotal Research Group. Please proceed with your questions.
Jeffrey Wlodarczak: Good morning. First of all, congrats, Derek, on the new position. I had a couple related to Formula One. I guess a follow-up on the Concord agreement. So, I mean, should we expect that's gonna be pretty similar to the current deal, or can you make changes that really help move this works forward? I guess, Stefano, on the 2026 powertrains, you talked to the team they develop that. To be honest, are there any major surprises, positive or negative, that you are seeing?
Stefano Domenicali: Thanks, Jeffrey. I mean, I didn't get the second question properly, to be honest. The first related to Concord. I think that it is worth saying without, you know, saying anything that we cannot say so far is the basic fundamentals are quite similar to the actual structure. That is definitely the way that we are working on and the way we are progressing with that. The second one, I heard something related to the 2026 cars. Jeffrey, if you can repeat because the line was not great. Sorry for that.
Jeffrey Wlodarczak: Yeah. No worries. Hopefully, you can hear me now. I was just wondering if there were any major surprises on the development of those 2026 powertrains that you've heard from our team either positive or negative.
Stefano Domenicali: Yeah. No. Thank you. Now I understand. Thank you very much. I think that as always, when there is a change of regulation, there is a lot of things that are related to who is working the best. Who knows or has been able to maximize the performance out of the regulation that is totally new. So a lot of expectation, and it is normal that a part of the ecosystem at that stage is trying to say, why are we changing the things in a moment where the championship is so competitive? That has been always the case in the cycle of Formula One. I do believe that the fact that now regards to the technological development, we put at the center the sustainable fuel is something that will give the future boost of a different thinking of technological implication of the future in Formula One. Pretty convinced about it. We need to keep at the center to show the fact that the drivers need to be at the center of the stage, and the technological choices for the future need to be relevant for that. We need to keep that clearly because it is relevant to say that our fan base is shifting in terms of interest, and we need to have the duty to make sure there is the right balance between the so-called traditional fans versus the new fans. And that's the focus that we want to keep together.
Operator: Thank you. Our next question comes from the line of Brian Kraft with Deutsche Bank. Please proceed with your questions.
Brian Kraft: Hey, Brian. Are you able to check if you're self-mute, please? Our next question comes from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Hey, guys. Thanks for taking the questions. Two if I could. First on the media rights opportunity internationally for Stefano and Derek, if you want to jump in on this one. I'm curious if there's anything you've learned so far through your US media rights negotiation that has made you more or less optimistic on the demand backdrop for media rights for F1 more globally?
Stefano Domenicali: Thanks, Stephen. I mean, from my side, I see that as an announcement of a great opportunity to exploit the maximum out of it. I'm not really worried about that. Because I do believe that it's potentially, you know, we not potentially. Actually, we have a growing fanbase that we need to make sure we find the right product and the right partner in order to engage with them. And that's really crucial. And one thing that we need to don't have to forget that this part of the equation is our F1 TV product. Because it's something that is irrelevant. It is really an incredible tool of engagement, and this is something that we want to keep that inside the discussion whoever will be the partner of the future because we believe in the value we had truly believed in the value of this platform.
Derek Chang: I would say that I'm not so sure the US rights is necessarily correlated to what we learned through this experience is necessarily correlated to other markets per se because each of them has their own individual characteristics both in terms of demand as well as sort of players in the market. I would say that one thing that has obviously transpired over the last several years that as some of the large streaming platforms have gotten engaged in sports, is sort of a demand on their part for worldwide rights, for lack of a better term, and hopefully, that will certainly drive some of the demand as we look around the globe. If you see the one of the big selling points of the Netflix sort of taking on the NFL Christmas games was that they delivered those. So, you know, this is clearly an evolving space that we'll keep an eye on.
Stephen Laszczyk: Got it. Thanks for that. And then a second question just on Vegas. For Brian. I appreciate you're not commenting on race-specific economics, but I was just curious if there's anything you can give us on the magnitude of the decline year-over-year in revenue and profit at the race just given the focus at the moment? By the market. That could maybe give us confidence that some of the underperformance in the quarter was isolated to Vegas specifically and maybe not more broadly throughout the F1 core business. Thank you.
Brian Wendling: Yes, thanks. We can't comment on the specifics, but the majority of the miss that you guys are calculating based on the team payment was Vegas related.
Stephen Laszczyk: Got it. That's helpful. Thank you both.
Operator: Thank you. Our next question has come from the line of Brian Kraft with Deutsche Bank. Please proceed with your questions.
Brian Kraft: Hi. Can you hear me now?
Operator: Yes.
Brian Kraft: Okay. Great. Well, thanks for letting me back in. Welcome, Derek, and congratulations. I had two questions. So first, on the heels of several high-profile race promotion renewals, how did the results of those renewals line up with your expectations that race promotion is increasingly becoming a revenue growth opportunity? And then the second one is, I know you don't want to give guidance, but could you just talk broadly about the media rights revenue outlook in 2025 relative to 2024, it seems like growth in that line should accelerate this year. Would appreciate any color there. Thank you.
Stefano Domenicali: Thanks, Brian. I mean, race promotion, as you know, we have taken the decision to be strong and long-term agreement with the place where we do believe is relevant to stay focused and working together because there is a possibility to increase even other revenue streams through this relationship. The other thing is, of course, every promoter is innovating. Is investing. And I remember very well when I had my first earnings calls, there were a lot of doubts that this revenue stream would be able to grow because there was a lot of thinking that that was not possible. Actually, we put them the other way around. And I do believe that due to the tension, positive tension of the market, because we want a lot of countries to host the Grand Prix, and everyone wants to basically show that they are committed to long term, there is the possibility to keep growing this list in the revenue stream. This is our focus. Of course. What is good is that everyone has now the focus on the fans who are attending the race. So everyone has to improve the different segmentation that depends on the fans' requirements in terms of GA, in terms of medium hospitality, in a higher profile hospitality, working the marginality, of course, working on the experience of the past together with the promotion. So on that respect, I do believe the expectation even if we are not giving any kind of guidelines on that, are in the direction of being very strong even in the future. With regards to the media rights, if I may say, Derek, I would say on that if we have a good package, and if you have a good support, if you have a good fan base, you know, the media rights should keep growing in that respect. And I do believe that what is important for the future is to see how the fans want to capture the content we have produced. And there would be not only the so-called traditional media rights, but there are other platforms that will have a big effect on not only growing that, but also growing the different possibility of engaging with the fans. And this is, for me, in our opinion, very, very peculiar to the fact that this is relevant to the growth in that landscape.
Brian Wendling: Yeah. And I'd just add, Brian, specifically on 2025 versus 2024 for media rights. You're largely going to be seeing just regular uplifts and standard renewals. We would expect continued growth in F1 TV, and we're launching our new premium F1 TV product too. So those will be the primary drivers in 2025.
Brian Kraft: It's kinda similar in strength as last year from a growth perspective or would you expect any acceleration this year, Brian?
Brian Wendling: I'll leave it at what we've answered already, Brian.
Brian Kraft: Alright. Thanks to you both.
Operator: Thank you. Our next question is coming from the line of Stephen Cahall with Wells Fargo. Please proceed with your question.
Stephen Cahall: Thank you for taking the question. So first just on media rights and with the expansion of premium F1 TV, can you just help us conceptualize how that product fits into the discussions that you have with some of the larger streaming companies? I guess, they see a competing streaming product in the market even if it's your own. So how do you manage those dynamics as you look to maximize the value of what you can get for rights? And then just one on Concorde and maybe Concorde Dynamics. I think the last Concord had a big overhang from what was going on with the pandemic and maybe the team's expectation or need to limit some of their downside risk. You've grown the sport a lot since then. The teams have also added a lot to their calendar, both with media and with races. So how do you think team dynamics are this time? What do you think their expectations are? And do you think that they have any feelings about your ability to kinda hold team payments flat and would be willing to accept that? Thank you.
Stefano Domenicali: Thanks, Stephen. I mean, with regard to the value of the premium F1 TV or pro or what we are doing in terms of different propositions, as we said, we believe that this has to be considered an added value. And we find solutions. I'll give you one example in collaboration with Viaplay in the Dutch market. We were able to find a solution that has integrated that in the package. So I do believe that we are flexible to understand what would be the need of our future broadcaster, knowing that has a value because it's an incredible package. And the extended and the different packs that we are offering, you know, allows all our fans to be connected with our world. And I do believe this is relevant also and this element has to be considered in our negotiation with future partners. Concord, I mean, the team dynamics, I would say everyone recognizes huge growth all over the business. I mean, it is not only related to the fact that there is a lot of interest in eventually buying teams because they see the potential value of them, you see from the numbers and the quality of partners that are connected to each team. That means everyone recognizes the huge growth that we're doing together. And the dynamics are very constructive. It's part of the game that everyone wants to try to squeeze or maximize what they can bring home. That's part of the game. But I would say the credibility that we have found that we have now together has allowed us to find the right balance. So happy to progress with this kind of relation because that's the key point of a future and a very stable growth of the business together. We see everyone as a stakeholder of the business. The FIA, the teams, and all the partners that they have and all our partners.
Brian Wendling: Just on the Concord, you know, one aspect that you were asking about, we wouldn't expect to see degradation. We feel good with our relationship with the teams. We would expect, at a minimum, we'd be in a similar place on the next agreement to where we finish out 2025.
Operator: Thank you. Our last questions will come from the line of Barton Crockett with Rosenblatt. Please proceed with your questions.
Barton Crockett: Okay. Thanks for taking the questions. I was interested in terms of the broadcast rights. There's been a lot of focus, you know, on the US as a solitary market, but you know, there's rights that seem to be, you know, potentially up for renewal across the Americas, you know, maybe even elsewhere, Japan. You know, are we at a place now where it could be more interesting perhaps, you know, to get closer with some of the global streamers to negotiate globe, you know, large regional packages, not exactly global, but, you know, large kind of regions that go just beyond, like, the US? Sorry if you could discuss that.
Derek Chang: Alright. Stefano, do you want to go? I or I can go? Yeah. No. No. I can just take this one and we can wrap up since this is the last question. But I think that the I think, again, what we said, and I don't mean to keep repeating it, but it's an evolving in terms of what the media rights landscape looked like globally, what the different players out there want and wanna try to achieve with their own platforms, I think. Clearly, the large streamers have consistently said that they want global rights to everything. That may or may not be possible. Then on a regional basis, sort of similarly, it sort of depends on how you define these various regions. But I do think that if some of these players are strong across a region, then clearly there could be benefit. And I think we do have some regional deals in play. We've got I know we've got some deals with DAZN in various countries. For instance, obviously, Sky, we've got across multiple countries in Europe. So it really depends on sort of what their strength is and what their aspirations are in some of these markets because, you know, the sum of all of those is greater than us going out individually than we would have to look at that and emphasize those opportunities seriously. And I think with that, I appreciate everyone's time today. I appreciate everyone listening in and all the warm welcomes. And look forward to seeing more of everyone on future earnings calls, and thank you again.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.